Operator: Welcome to the ServiceMaster's Fourth Quarter and Full Year 2016 Earnings Call. Today's call is being recorded and broadcast on the internet. Beginning today's call is Jim Shields, ServiceMaster's Vice President of Investor Relations and Treasurer around he will introduce the other speakers on the accustom at this time we will begin today's call. Please go ahead, Mr. shields.
Jim Shields: Thank you, Christy. Good morning and thank you for joining our fourth quarter 2016 Earnings Conference Call. Joining me on today's call is ServiceMaster's Chief Executive Officer Rob Gillette, Chief Financial Officer, Alan Haughie and Senior Vice President, Tony DiLucente. For those of you investor presentation from our website I'll walk you through the agenda items shown on Slide 22. Rob will lead off by providing some observation remarks and then provide a summary of fourth quarter and full year 2016 consolidated continuing approximate results. Rob will provide our fiscal year 2017 outlook, Alan will then review our performance by segment and provide more details of our consolidated results. Rob will then provide summary comments before opening the call to your questions. Before we begin I would like to remind you that throughout today's call management may make - may make forward-looking statements to assist you in understanding the Company's strategy and operating performance. As stated on Slide 3, all forward-looking statements are subject to the forward-looking legend contained in our public filings with the Securities and Exchange Commission. These forward-looking statements are not guarantees of performance and are subject to the Risk Factors contained in our public filings that may cause actual results to vary materially from those contemplated in the forward-looking statements. Information discussed on today's call speaks only as of today. February 23 reasonable degree, 2017. The Company under takes no obligation to update any information discussed on today's call. This morning's ServiceMaster issued a press release filed with the SEC on Form 8-K highlighting our fourth quarter and full year 2016 financial results and we have posted a related presentation both of which can be found on the Investor Relations section of our website. We will reference certain non-GAAP continuing approximate measures throughout today's call. We have included definitions of these terms in our private-label which is available our website. We have also included of these non-GAAP continuing approximate measures to the most comparable GAAP financial measures in our press release and presentation in order to better assist you in understanding our financial performance. All references on the call to EBITDA are to adjusted EBITDA as defined in our press release. I'll now turn the call over to ServiceMaster's CEO Rob Gillette for opening comments.
Rob Gillette: Thanks Jim thank you joining us today for our fourth quarter full year 2016 earnings call. Before I walk you through our continuing approximate results for the quarter I want to speak to you about some of the recent changes we have made at January 18th we announced that Al Haughie will retire from the Company in March. Upon his departure Alan will be succeed by Tony DiLucente. Tony comes to ServiceMaster from HTT global a provider of mobility for military and government applications where he served as Executive Vice President and Chief Financial Officer since 2011. Prior to HDT Tony Watts CFO leading building products company and has significant finance and general management experience John man visual and Honeywell international. Alan was instrumental in guiding the Company through several mile Stein vents clung true green business in January 2014 ServiceMaster's initial public offering and the recently completed $2.4 billion refinancing. I want our thank Alan for his dedication and his many during his time here at ServiceMaster. Alan will remain in his current role with the Company through the final of our 2016 10-K. Tony bring a strong background in financial management and operational expertise across a broad range of industries and companies. I previously worked with Tony and Honeywell and know his track records of driving business growth and process improvement. We're very excited to have him join the team. In addition to Alan's retirement and Tony joining the team last quarter we announced the promotion of Marty wick to the newly of term anything an Mary Kay Wegner to the as President of the Franchise Services Group succeed willing mar too as term ignition COO Marty will be customer experience management of all and the customer call centers [indiscernible] has been with ServiceMaster sin 2009 and has a track record of operational excellence and success. Marty did a great job as the Franchise Services Group President. He led the divestiture of the Company on branches an improved our relationship with franchisees. In 2012 he was named Vice President of operations for American home show. During his ten we're at Marty was possibly for all of the customer experience and service quality. Marty bring vast knowledge and dedication to his new role and will be instrumental as we continue to improve service quality at Terminixment over the past year Mary Kay served is a the Senior Vice President of service and of Terminix. In addition to running our strategic sourcing group. During her tenure leading these Mary Kay implemented new service delivery initiatives and centralized and streamlined our purchasing process. In her new role Mary Kay brings the leadership and organizational skill required to build on these we have made in the Franchise Services Group. With the addition of Tony an the promotion is of Marty and Mary Kay we're well position today leverage our to continuously improve the customer experience and drive growth across the Company. Now let me turn to the results on Slide 4. 2016 was another good year. For the full year ServiceMaster revenue grew over 6% compared to the prior year and 7% if we exclude the done verse of branches to franchise he is. Revenue growth was driven by strong organic growth at American home show supplemented by of OneGuard warranties, landmark Home Warranty and our acquisition of Alterra and Terminix. Through our acquisition of OneGuard and landmark we have expanded American home show's footprint in several important states including Arizona, Utah, Idaho, Nevada and/or gone. We also strengthened our contractor network added resources to our real estate channel and solidified our position as the leader in the Home Warranty market. Over the coming months we not only expect to realize significant synergies were these acquisitions but also expect to capitalize on our the unique set of capable that open of these companies bring. For example, OneGuard offers a host of services not presently offered by AHS. These include re keying of homeowners locks, re programming of dry for remote controls, carpet cleaning, pest control and tier might treatment under its Home Warranty umbrella. We're now evaluating if these service offerings fit under the American home show brands and how we can add value for our current app future customers. With regard to landmark, it markets itself is as a provider of personalized Home Warranty services. Each customer gets a higher electrical of service than under a typical Home Warranty. Today American home show's value position focuses on saving customers money and helping them avoid large un planned costs associated with home system repair. In the future we also hope to include a service offering that expand our customer base to consumers who are more interested inconvenience. These customers value a higher level of service such as quicker response times, tighter service windows and emergency type services. We're learning were landmark how best to serve this type of customer. As the leader in the Home Warranty market American home show has the breadth and the scale to capitalize on the capable of these acquisitions and expand the market beyond the Traditional Home warranty customer. With regard to Terminix acquisition of Alterra which we closed over a year ago we're very pleased with its performance. It has exceeded our expectation and has yielded good returns. As we mentioned in the past, we consider Alterra a large it tuck-in acquisition. Typically with tuck we immediately realize synergies and cost reductions by reducing the administrative and sales costs and integrating the back-office. We leveraged Terminix established sale channels to cross-sell other services to the customers we acquired in the acquisition. This is true in the case of Alterra where we retain the customers and technicians but eliminated the sales and administrative functions. But unlike momentum tuck-in acquisitions we delayed the integration of the back-office operations because of Alterra's sheer size. We have now just completed the integration and have begun to cross-sell other services such as tier might and mesquite owe to these customers. The benefits of this acquisition are clear. Up front profitability, new customers in cross-selling to these customers. Now turning back to the continuing approximates for the year, adjusted EBITDA increased $45 million or 7% compared to prior year. The increase in EBITDA was primarily the result of the conversion of higher revenue driven by organic growth at American home show and acquisitions at both American home shows and Terminix. This was partially offset by we made throughout the year for future growth. These include $19 million in technology spend on our serve market initiative, a $12 million increase in marketing and sales at American home show and a $6 million increase in labor at Terminix to add and train sales people and tech. Taking these into account and the lower revenue associated with the conversion of Merry Maids branches to franchises EBITDA margin was largely flat year over year. Our adjusted net income for the full year was $281 million versus $245 million in 2015 and the increase was largely driven by an increase in adjusted EBITDA, a lower provision for taxes and lower interest expense. For the full year adjusted diluted especially EPS of $2.04 was an increase of $0.24 or 13% versus last year. This was driven by an increase in adjusted net income partially offset by higher weighted average diluted common shares outstanding. Now turning to Slide 5. ServiceMaster had a solid fourth quarter. Revenue grew over 5% compared to the prior year and 6% if we excluded converse of mirror amides branches to franchises. Similar to the full-year-results revenue growth was driven by strong growth at American home show an the acquisitions I think both American home show and Terminix. American home show continues to perform well as revenue grew 14%, 8% of which was organic. We continue to see strong demand for our products in both the real estate and direct-to-consumer channel. Our real estate channel had a great quarter and year. Over the past 18 months we have placed a renewed emphasis on this channel. As a result in 2016 we had our best sales year in over ten years. In addition, we're seeing re attention rates for first year real estate customers increase which helps drive future growth and profitability. In the direct to consumer channel our marketing dollars continue to yield significant returns. We're optimizing our marketing spends by using mixed media approach of digital, broadcast and direct mail to drive sale growth. As I have mention end before our marketing, pricing and product strategies continue to evolve. We're constantly learning by taking new services and plans to make the more attractive to customers. These efforts are paying off and American home show is well-positioned for continued growth in 2017 and beyond. With regard to Terminix we continue to see steady progress in our core termite business as sales this quarter exceeded sales during the same period last year and retention rates remained solid. This is a good sign for the future as termite is once again of our most profitable services with high retention, good margins and a high lifetime value. We're the industry leader and plan to continue to invest in and grow this market. With regard to pest control our organic pest control continues to be a challenge for us. As I reported last quarter, our sales engine is performing well, but we plead to continue to drive improvements in our product offering and service quality. Although a long-tenured customers remain loyal and have high re attention rates we're driving actions that will improve retention both for first year pest customers. Many of the changes we're driving are basic and fundamental but will take time to generate results. Our actions are aimed at driving sustainable profitable growth over the long term. That means focuses on our customers' needs an properly motivating our technician and front line smell to better serve and retain these customers. The first step in the process is to make sure we're adequately staffed. It typically takes about three months to license and train a technician. Managers are now being held accountable to be sure they anticipate turnover and that branches are adequately staffed. Today we have 350 more technicians than we had one year ago. To grow in Alterra we he had need to have the people in provides are well trained and motivated to both sell and serve customers. In addition, we're experimenting with incorporating customer satisfaction metrics and on-time performance into our Texas' compensation plan. We're conducting pilot most experienced technician in each branch is dedicated solely to providing the initial and first year service for pest customers. We want to incept advice our particular ignitions for the qualitative of their service not quantity. We're encouraging branch managers to stabilize production by evenly distributing the number of stops tech make in a day which enable them to engage with customers and improve retention. We know there is a direct correlation between our customer satisfaction scores and retention. A customer with a higher satisfaction score on the initial visit retains a 25% higher rate for termite and at a 17% higher rate for pest. Our branch he with highest scores are those with the highest customer engagement. We're now taking the lessons learned from trees branches app translating them adhering to a more rigorous pre an PoE treatment customer notification process. Our tech will be able to see on their hands held when a customer is first year. And when their renewal will come due. This enables them to proactively engage the customer and improve renewal rates. Over the long term technology will pray a key role for improving service quality at Terminix. Today 1300 sales professionals have an iPad with which they access their daily schedule and driving directions, view and schedule appointments and see nearby prospects and host of other features. All 5,000 tech recently received an iPhone that will allow them to more easily communicate with and respond to their customers. Again, these changes are all in the early stages but we're confident we're on the right track. Adjusted EBITDA for the fourth quarter increased $20 million or 16% compared to the prior year. The increase in EBITDA was primarily the result of the conversion of higher revenue driven by organic growth at American home show, at both American home show and Terminix and $11 million decrease in contract or claim costs primarily associated with the prior year use of out of network contractors. An increase of $4 million in labor cost and term ignition related to our investment in recruiting and training sales and service smell partially offset the overall strong EBITDA growth in the fourth quarter. Our adjusted net income for the fourth quarter was $60 million versus $45 million or up 33% versus prior year. They have largely driven by an increase in adjusted EBITDA and a lower provision for take he is. For the fourth quarter adjusted diluted especially EPS of $0.44 was an increase of $0.11 versus prior year. This is driven by an increase in adjusted net income and slightly lower weighted average diluted common shares outstanding driven by our share buyback program. During the quarter the Company used $8 million in cash to purchase 225,000 shares at an average price of $35.50 a share. In addition since the start of this year we used $40 million in cash to purchase an additional 1.1 million shares. Since the inception of the program one year ago we have used $1,100,000,000 to purchase 2.7 million shares. Also this past quarter we completed a refinancing of our $22.4 billion Term Loan B due 2021 and our $300 million revolving credit facility with the proceedings of a new $1.65 billion Term Loan B due 2023, $750 million of unsecured high gelded debt due 2024 and a new $300 million revolving credit facility due 2021. With this refinancing we reduced our weighted average cost of debt, stepped our maturities, diversified the maturity schedule of our debt and increased our flexibility to raise capital in the future. In addition, we executed a $650 million interest rate swap commensurate with this transaction which increased the ratio of our fixed-rate debt to our floating-rate debt from approximately 30%, 40% to close to about 65% protecting us from potential future interest rate increase advisory. Our 2017 outlook is shown on Slide 6. We expect full year 2017 revenue to range from $2.885 billion to 2.9 # $15 billion for an increase of between 5% to 6 per compared to 2016. Full year 2017 adjusted EBITDA is anticipated to range from $700 million to $715 million for an increase of 5% to 7% compared to 2016. Our 2017 outlook excludes the impact of any potential acquisitions in year. We expect organic revenue growth at Terminix to range from 1% to 2% for full year 2017 compared to prior year. For the first quarter of 2017 the Company expect Terminix organic growth rate to be flat compared to prior year. The Company expects organic revenue growth to accelerate in the second half of 2017 as we focus on customer service particularly in pest control to drive higher customer retention. As we improve service delivery, we inspect to incur additional labor production costs in 2017 resulting in Terminix EBITDA margin remaining flat to down 1% compared to 2016, long term Terminix incremental margins will be between 30 and 35%. The Company expect American home show full year 2017 revenue growth to range from 12% to 14%. In 2017 there will be a small 1 to 2 percentage point headwind to organic growth productivity phase out of our third-party business. This is the business that we had previously conducted with banks and mortgage companies that combine the sale of a Home Warranty with a mortgage and would collect the Home Warranty payment with the mortgage payment. Due to the regulatory environment many of these financial institutions no longer sell or service some warranties. Our last large financial institution customer has decided to exit this business at the end of the first quarter. We have put marketing and sales programs in place to retain these customers, but we expect a significant amount of attrition due to this change. Now let me turn it over to Alan to go over the segment. Alan?
Alan Haughie: Thanks, Rob and good morning everyone turning now to Slide 7 and Terminix's performance, starting with the fourth quarter on the left-hand side revenue increased year-over-year by $9 million or 3%. Acquisitions made in periods accounted for about $8 million of this growth. Our Alterra revenue for the month of October 2016 is included is a component of this acquisition revenue but Alterra revenue for November and December 2016 is classified as part of the organic base. So organic revenue growth for Terminix as a whole was just one million dollars for the fourth quarter. But if we excluded organic contraction of Alterra the remainder of Terminix grew organically by about $3 million or 1%. EBITDA for the quarter declined by $3 million from $76 million in 2015 to $73 million in 2016. And we incurred about $4 million in additional labor costs reflecting the hiring and training of pest tech well in advance of the peak pest seasons with the aim of increasing service levels to improve customer satisfaction and so boost organic growth. We had signaled and anticipated increase in labor spend on our third quarter call. We also continue to invest in technology and carrying $2 million of higher expense than last year and despite the additional $4 million in labor cost and $2 million of technology investments EBITDA margin fell just 1 point in the quarter compared to last year. For the full year shown on the right-hand side revenue increased by $80 million or 6 per and acquisitions contributed $60 million or 4 point of this growth. Alterra contributed significantly to Terminix's growth in 2016. We're Rob about the acquisition and I would like to retrofit those benefits again and add that additional scale provided by the Alterra acquisition Terminix well as it continues to invest in growth. For 2016 Alterra contributed approximately 3 point of revenue growth. To be clear these customers had an initial decay rate slightly higher than our comassing customer base, but that was fully considered as part of the business case an reflected in the purchase price required to meet our return targets. Furthermore, the business case described does not include the opportunity for cross-selling which should be substantial. From our financial reporting perspective the in conclusion Alterra revenue and the attrition of Alterra as customers since acquisition as predicted in our business case reduced Terminix's reported organic by about 1% in the fourth quarter. And as we enter 2017 with a fully integrated Alterra the Company is focused on leveraging the Terminix to cross-sell to the Alterra customer base. Now moving onto full year EBITDA which increased by $24 million the additional revenue produced $36 million of EBITDA when included normal variable cost of service and we also had $5 million of benefit from lower field. However, the increase in production labor over the second half of the year $6 million combined with the $12 million of increased technology throughout the year resulted in a flat EBITDA margin of 24% turning to Slide 8 and Terminix's revenue drivers for the fourth quarter, revenue from termite and other services of $120 million is an increase of $5 million or 4% over prior year. With completion revenue up $4 million or 7% to $63 million and renewal revenue up $1 million or 2% to $57 million. During the quarter about 60% of this $63 million in termite completion and other services revenue was derived from the sale of core termite meaning a first time termite service. Now, the fourth quarter is generally a slow selling season for termite services nevertheless termite revenue increased by 7% year-over-year continuing the unbroken trends established during November and December of 2015 of a year-over-year increase in the number of termite and termite services is one of our most profitable offerings with high retention margins a lifetime value. Increases in first year sales or termite completions are a good sign for future renewal revenue growth in the long term profitability of this segment. The other 30%, 40% of the $63 million of termite completion and other services revenue comes from services such as exclusion and installing and this revenue stream increased by about 9% year-over-year. Furthermore, termite renewal revenue increased by 2% driven by increased prices and a gradual mixed Shiv to the better retaining product another good sign for the long term of the termite business. Pest control revenue of $209 million increased by $2 million or 1% over the prior year. Acquisitions contributed about $7 million of the revenue increase, specifically $4 million from Alterra and $3 million from other acquisitions. Pest control, therefore, fell organically by about $5 million or 2% for the quarter including $2 million of organic contraction from Alterra. So as already mentioned if we excluded attrition pest control revenue fell organically by about $3 million or 1%. Rob has already mentioned our disappointment in the organic term ignition and there are steps being taken to improve service quality re attention and growth. So overall for term anything given the strong operating leverage both gross margin and EBITDA margin remain healthy even with the investments in growth. The termite strategy in particular is proving effective healthier highly profitable renewal stream and the challenges of organic pest growth are being take old with a measured focus approach. So let's turn to Slide 9 and discuss American Home Shield. Starting with the fourth quarter on the left-hand side Home Shield had good topline revenue growth and strong growth and EBITDA margins. Revenue increased by 14% from $206 million to $234 million with organic growth contributing 8% of this. This organic revenue growth comprised about 2% from pricing of 7% from customer account growth part traditionally lower priced real estate contracts. The OneGuard and landmark acquisitions mentioned by Rob contributed about $12 million are 6% of growth. EBITDA for the quarter increased year-over-year by $18 million or 56% and margin expanded from 16% to 21%. The largest contributor to the increase in EBITDA and to margins expansion is $11 million of favorable year-over-year claims reflecting a return to normal stable use of in network contractors compared to the same period last year when we experienced Anj increase in customer claim and our due to an increase in the use of out of network contractors at that time. Also contributing to the EBITDA increase this quarter is about $6 million as a result of organic growth of which $5 million relates to an increase in the number of customers and $1 million is the converse of price increases net of normal inflation and contract costs. The one landmark acquisition contributed about $2 million in EBITDA this quarter and technology costs were $1 million higher than last year. With respect to the full year on the right-hand side revenue increased by 11% or $103 million and now exceeds $1 billion for the whole business. This growth comprised about 9% organic growth reflecting be the usual 7% customer count growth and 2% pricing for the balance coming from the acquisitions made in the second half of the year. EBITDA increased by $50 million or 7%. Organic growth contributed about $33 million of which $27 million relate to an increase in the number of customers and $6 million is the pass through of price net of normal impossible inflation associated with contract costs. The one landmark contributed about $4 million of EBITDA. Offsetting these contributions were $12 million of additional selling and marketing costs, $7 million of technology spend and $3 million headwind from prior year investment gains. As Rob mentioned we expect our technology spends to be flat in 2017 and since marketing spend in 2016 was elevated due to the shift in timing of an $8 million marketing campaign from the traditional December time period in 2015 to January 2016 we expect our sales and marketing spend increase to be less dramatic in 2017. Now on Investor Day this past May we highlighted the stability of American home shields'. On Slide 10 we show Home Shield's revenue growth and gross margin persons over the last six year. Over this long period low double-digits while maintain Agency stable gross margin of about 350%. A and as we have said before there will be extremes of temperature that may packet and was whitespace expand our contractor network there will be inevitable occasion Al growing pain, but as this shows the Longview of this business is one of high stable gross margins which provide significant profit which can and should be invested in a variety of ways to continue to generate revenue growth. Slide 11 shows FSG's performance. Focusing on the left-hand side fourth quarter revenue fell year-over-year by $4 million or 7-point% with a $6 million reduction in revenue due to the converse of Merry Maids being partly offset by $2 million of increased disaster restoration [indiscernible] and once again we mitigated the impact on EBITDA of the Merry Maids converse through cost reductions and this in combination with the increased fee revenue raised the EBITDA margin by 7 point to 422%. And if we look at the fledgier performance on the randomize then the story is basically the same turning to the four account on page 12 looking at the business in its entirety the year-over-year revenue increase of over 5% or $32 million includes $18 million of 3 point ever net organic growth. The remaining $40 million of revenue increase comprises $8 million due to with Terminix and $12 million from the acquisitions in Home Shield partly offset by $6 million of revenue diversified to converse of the mirror amides franchises. Gross margin percentage revenue improved by 2210 basis points largely as a result of the improvement in claims American Home Shield. Year-over-year SG&A increase of $12 million reflect the higher technology costs of $3 million. SG&A assumes OneGuard and landmark acquisitions within Home Shield of $5 million combined with higher selling cost and other of about $4 million. As a result SG&A as a percentage of radiograph increased by six tenth of a point to [indiscernible]. As mention on prior calls we expect technology costs in 2017 to be similar to the levels established in 2016. Now recall that in the fourth quarter of 2015 we recorded a $23 million charge for the proposed 401(k) plan contribution and $9 million related to the penalties on the fumigation related matters. In the fourth quarter of 2016 by contrast we wrote off 3 # 2 it million dollars of previously capitalized debt costs is as a direct result of the recently refinancing the Company's debt. So for the fourth quarter we have generated pre-tax income of $41 million compared to $33 million over the same period last year. Now our effective tax rate is around 22% for the quarter, more favorable than our run-rate for the first nine months of the year which was about 38% due mainly to excess tax benefits related to stock compensation and the release of a reserve for federal taxes. This rut in net income for the quarter of $31 million compared to $17 million last year. And of course the contemporary built we also reported adjusted net income which in a moment which increased by $50 million to $60 million. So slide 13 provides our standard two release it's a - first we walk our adjusted EBITDA down to net income and then the reconciliation back up to adjusted net income. Nothing surprising hereof course with the loss of extinguishment of debt being included from adjusted net income. Full year simplified cash flow. In the fourth quarter we generated $100 million of free cash flow compared to $98 million of over the same periods last Ye. This increase of $2 million is the sum of a number of moving parts for the momentum significant are the $20 million of higher EBITDA being offset by $7 million of increased cash taxes and $10 million paid to un wind after the money interest rate swaps following the debt refinancing. In accordance with the G&A this $10 million will be discharged prospectively in the P&L account in 2017 and 2018 with the charge in 2017 being about $6 million of noncash interest expense. I'm please today note that I formal reconciliation from the U.S. cash flow statement to free cash flow is provided in the appendix and in the press release. Now that largely concludes my prepared remarks so I'm going to take a little bit more of your valuable time to express [indiscernible] attitude to all employees of ServiceMaster, my colleagues on the executive team and to the exceptional finance team here, all of which have made my tenure an absolute delight. Lastly of course to Rob Gillette for making it a really fun ride. So for the last time I'll turn it back to Rob.
Rob Gillette: Thanks, Alan. We had a good quarter driven by strong organic growth at American Home Shield and acquisitions in both American Home Shield and Terminix. Our termite business continues to improve as our sales grow. We have taken the right steps to improve our pest control business by improving service quality to drive customer satisfaction and retention. We're investing in technology to improve our service quality and our ability to drive growth in the future. We feel good about our progress and the opportunity we have in the future. Thank you for joining us today and for investing in our Company. We would also like to thank Alan for his time here at ServiceMaster and his many accomplishments. He is a good friend and he will be missed. We wish him the best as he moves on to new endeavors. Now I'll turn it over to Jim for Q&A. Jim?
Jim Shields: Thanks, Rob. As reminder during the question-and-answer session we encourage you to ask any questions that you may have but please note that guidance limited to the outlook we have provided in our press release and webcast presentation. Additionally since the cue is long this morning please limit yourself to one follow-up question so that we can get everyone in in the allotted time. Christy, let's open it up - the line for questions now.
Operator: [Operator Instructions]. Our first question comes from the line of Anj Singh. Please go ahead.
Anj Singh: This is Anj Singh from Credit Suisse. So I guess turning to questions, first off I wanted to touch on the longer term incremental margins. I think you is guys are expecting those to moderate a bit to 30 to 35%. I think last quarter you were still confident that it could continue to be at about 35%. So is it just the additional labor costs that are being factored in here? Curious as to what you found to moderate your expectations for the incremental margins in Q3.
Tony DiLucente: Yes. This is Tony DiLucente. That's correct. It's essentially the additional labor costs that both Rob and Alan talked about. We're going to continue to invest in growth in Terminix to drive the organic growth.
Anj Singh: Okay. Got you. And then as it relates to the flattish organic growth expected for Terminix at Q1 and your guidance for the full year organic growth, could you just speak to the factors that provide your - your confidence in that growth accelerating in the back half? Seems the performance has been pretty lumpy quarter to quarter so just wanted to better understand the visibility that drives your outlook here.
Tony DiLucente: It's basically the focus on improving our re attention rate which is really driven by specific actions that we're taking to improve the customer experience and customer quality. So we're very confident that we will see that bump-up in the second half of the year.
Rob Gillette: And Anj, it's Rob. We're actually coming to you from the downtown Sheraton in Memphis, Tennessee where we have all of the branch and field Management Team here where we have been talking about exactly what we're going to be doing to go out and make sure that we engage customers and drive that retention. So we feel confident in the ass that we're taking the [indiscernible] pretty fired up and when I'm done answering you guys' questions I'm going to go fire them up some more and sends them back to the field.
Operator: Our next question comes from the line of Toni Kaplan. Please go ahead.
Jeff Goldstein: This is actually Jeff Goldstein on for Toni. How should he be thinking about market expansion [Technical Difficulty] I know margins down a little bit in 2016 primarily related to the increased claims costs incurred. Should we be expecting margins to get back to somewhere around a 2015 level just really trying to understand the puts and takes there.
Rob Gillette: I'm sorry. Could you repeat that you were tailbacking up a little bit on our side? Could you repeat your question?
Jeff Goldstein: I apologize. Yes, I was asking about American hold she would margin expectations for next year because I know in 2016 they came down primarily related to some of these increased claims costs you incurred, but should we be expecting margins to get back to somewhere around a 2015 -
Rob Gillette: A couple things you should take in account relative to margins. We don't give specific margins at American Home Shield, but if you turn to the American Home Shield page for the full year, there's a number of different one-offs that we have in will such as technology is going to be remaining flat over on a year-over-year basis in addition to that you can take a look at sales and marking spend that Alan had pointed to. Probably not going to be increased quite as dramatically as that and also on that page we also have an investment income of basically a $3 million drag. That's not going to be there. So you - we don't give it out, we don't give guidance, you know. We say that our long term incremental margins at American Home Shield are about 35%. We're consistent with that. I think relative to this year there might be a slight drag associated with that incremental margins just because we made a lot of acquisitions in 2015 and we need to integrate them into - excuse me - 2016 and we need to integrate them during 2017.
Jeff Goldstein: Okay. That's helpful. Thanks. And then just you have spoken about obviously the increased investment your making in Terminix to accelerate growth there, but just thinking bigger picture what's the right way to think about long term growth in this segment after some of the recent issues you have seen? I mean is this shall is this a GDP plus grower, can you match the mid-single-digit growth at some of your competitors? Just really what your long term target in this business.
Rob Gillette: I think that in general it wouldn't vary from what we have already said or said when we went out with the IPO. You know, we always talk about one to two point in market, one to two point in price and one to two pints in acquisition. That's kind of the way it's averaged a little over - compounds and over a long period of time. You know, we can through all these efforts continue to improve on retention and drive more growth, we sure will. I guess wear on the side of being conservative with these actions we're confident they're going to get and we don't want to over sell it until we can come back and tell you that we did. So that's kind of where we're at.
Operator: Our next question comes from the line of Andrew Wittmann. Please go ahead.
Andrew Wittmann: I notice the change on your guidance approach this year which - was exclusive of acquisition. I think that makes sense, but given that, guys, I wanted to get a sense of where you are on the acquisition curve. Last couple ever years have been probably a little bit more active than we would have expected coming out of the IPO O and I was just wondering if the last couple years' investments in you think are a good template for what we could be seeing in the year ahead.
Rob Gillette: Yes. I think we will continue to invest obviously as part of our growth strategy and add services and capability to what we do. You know, in the American Home Shield arena a lot of it is what's available when. So it's more of a timing thing and, you know, we look to add to that business and we have a target list, but the list is relatively short when you think about the traditional players in that game. So that's - that's one thing. And I think on the Terminix side we'll continue to pursue the business like we have identifying good quality target that we can add to the business that help tie into our strategy of - of the growth and retention and growing the business overall. So I think directionally you can think of it as - as similar practice in 2017. We just made sure to - to tell you that none of the acquisition - or potential acquisitions are included other than what was acquired in 2016.
Andrew Wittmann: That makes sense. My follow-up question I wanted to talk about the contractor network at American Home Shield in particular. Obviously, you had the - I guess you would call it Anj easy comp on the claims cost. I just wanted to check back in really on two things. One, you know, how do you feel about your out of network claims costs in the contractor base side and are you seeing any impact to your ability to find contract - to find contractors willing to work for you now that they are getting more alternatives to find volume in their work from technology?
Rob Gillette: Yes. I would say the team especially because of some of the we faced in late 2015 kind of carrying over into 2016 the team this year has done a great job in making sure that we develop the contractor base and add contractor. So I think we have added roughly 10% to the overall contractor base and - and also branching out into new contractors other than the traditional ones that we have worked with. So we're paying a lot of attention to kind of the capacity side of the equation and we want to make sure that we can maintain the service quality with those contractors and maintain the growth profile and still serve customers. So we're investing in both the call center and the contractor base and we don't - we don't have a shortage of people that want to work with us. In fact, we're focused on developing new and there's many, men's apparel people interested in being market of the business.
Alan Haughie: As Rob also said in the script the acquisitions also contributed to our built-out of our network also. That should benefit in the areas where we were sort of light.
Operator: Our next question comes from the line of George Tong. Please go ahead.
George Tong: Can you elaborate on how your investment initiatives in Terminix differ between termite control and pest control and when you might expect to see these initiatives translate into in re attention rates and new customer acquisition trends?
Alan Haughie: Well, as you know, most of the opportunities out there to acquire businesses are predominantly pest control, you know, so fewer and fewer have termite businesses of significance. So I don't even remember the ratio. But it is clearly the minority of what we have purchased. Most of those businesses that are out there today in that mid-sized range are predominantly pest control so when you acquire them it's more about where they are positioned how does if knit in the portfolio relative to what we have in permanent of footprint and what types of things do they do an are enabling to grow their business organically which is what we look at, too. So we - you know, we - we look for quality people that can help us drive the things we talked about like retention and growth so - and a lot of it is when people decide to sell what and - and what their thoughts are. So we have active conversation with them all the time.
George Tong: And the follow-up question in the American Home Shield segment can you talk about how spending will need to change this year in marketing and in growing your network contractor base in order to sustain the trends you have seen inorganic revenues?
Rob Gillette: Yes. I think as Alan mentioned, we had a one really large increase in marketing spend this year because of the shift between 2015 and 2016. He did also mention that we're going to see probably a continued increase on this. You know, but not nearly to the degree we did last year. I think the key element here is that our overall cost of acquisition of customers in that DTC channel remains pretty constant during this time period. So we continue to invest in that marketing spend going forward. We do basically moderate it based upon the capacity of our - of our contractor network so that they lineup appropriately, but, again we're really confident and we're very excited in terms of that fact is we continue to see stability relative to our cost of acquisition in that channel.
Operator: Our next question comes from the line of Gary Bisbee. Please go ahead.
Gary Bisbee: Hey Rob in your discussion of the strategies being implemented at Terminix I heard an awful lot of we're piloting this, we're testing this, we're trying in this branch. Can you just give us a sense of - of the range of strategies that you have discussed this quarter and last quarter how much of it is largely implemented or - or - and how much of it is in the trial phase where you'll decide in the future if it works and then implement it more productively. Just trying to think of the cadence of the strategies in total.
Rob Gillette: Yes. I would tell you that in the last six months we've implemented a lot of things and so I think part of it is in equal measure I think we mentioned before that there were an awful lot of initiatives, too many initiatives going on I think that kind of de frayed the focus on growth and customer retention so we - you know, we have been talking to the team here about growth and growth being both new acquisition and retention. The investments we made in reference to the $4 million labor increase in Q4 is not just technicians but it's also sale people and training, right? So I think as I - I told you guys what the significant difference between the start of this year versus the start of 2016 is the clear number of trained people that we have in sales and service, right? So that bodes well for us in terms of executing. So that - when you think about it if you got trained guys with a great attitude ready to hit the busy season, that's when you capture the growth and then a lot of these other changes we - we don't want to make changes that would disrupt anything that we have put in place so we have a couple different approaches that we're trying on the technician pay plan that basically are focused on supporting the idea of NPS and customer satisfaction and growth indifferent vary and. We rolled out the technology so everyone has the iPhone 6 which then deploys this dispatch technology on my way notifications in five star ratings which we have already deployed in certain branches which has made a magazine initiative September impact in actual NPS in those branches. In some cases more than doubling it. So we know that it works. And then we're rolling it out to make sure the guys are trained to do it. So I would be telling you most of the work is the fundamental work and the focus of the team on capture engagement pre and post communication and ensuring we're on time and engage the customer and most of that is just a primary focus on what the guys need to do and ensuring that they do it. So a big part of it is verifying they do it and then measuring the results of each. So I'm excited about the improvement made already and I - I just sat through individual skip levels with groups of 20 over the last four days, the branch managers, right? So they are the guys on the ground they understand exactly what we're doing. Theory excited about it and I'm excited about what we can do this year.
Gary Bisbee: And then the follow-up just you alluded to the potential expansion of the A HT strategy to think about - the comment shirr market or more peopling looking for higher service level as opposed to just the insurance component. You know, where are you in that? You have alluded today that as a possibility in the past, but is this acquisition, you know, I guess what's the timeline to really think through and determine how you might leverage that going forward.
Rob Gillette: Yes. I think we have had a lot of discussion about that and I think Tim and I have decided in a small way we may highlight it on a limited baste basis to get a feel for it which would be in a specific geography of relatively a flew Egypt high density, right? So you think about the services we're going to go out and investigate what people are willing to pay for and then what the service level commitment is and landmark is one that kind of sold as a company that was tended more toward concierge than the traditional service. So we want to learn from what they have done in both price and product positioning and - and then see what we can do to leverage that into the product line of AHS and how we would go-to-market. So we have always talked about it, Gary, over time. So we're pretty excited about what it could be because we know people are willing to pay for convenience, but if you take that step you got to be really, really good at what you do and we would make sure we're before we do it.
Operator: Our next question comes from the line of [indiscernible]. Please go ahead.
Unidentified Analyst: So just on the kind of longer term operating model for the Company, not so much about 2017, but as we look out to 2018 and beyond these investments that you're making in technology, the investments that your making in sales and mark, particularly in AHS do those start to get referred in the future? Is that something we should expect to continue to grow going forward any kind of long term business model commentary would be great.
Rob Gillette: Yes. Hey Sam, specifically as it relates to the American Home Shield yes the technology spend as Alan mentioned is going to be flat. So that is definitely leveragable going forward because it's going to be sort of flat on a year-over-year basis. I think even I don't understand 2017 we have talked about it even in our - on the Investor Day that we don't expect that increasing over beyond even 2017 or 2018 to remain at the same level. So that's definitely leveragable. And relative to sales and marking is the other sort of expense that we have on the bottom line there, Sam and that number - it will consistently grow over time and sort of match our overall growth rates. So we have - we have a model that we're confident in there is that we have about 50% gross margin and, you know, it's been stable in the past. We think it's going to be stable in the future and we have basically said about 35% incremental margin there at American Home Shield and we think that's going to be the right level going forward there. The other thing I would say, Sam, on the sales side in Terminix we rolled out the iPads and the global technology for sales and that's been really successful and so we implemented sales training which we haven't effectively done in a lot of years and we implemented that in September so that was part of the our investment, but the iPad these guys as you can see to go out and, you know, canvas, cold call, schedule, communicate and pitch with their iPad driven with collateral that comes down from the marketing guys so I'm pretty excited about what they can do with that and that investment is made, right? So we just continue to tweak it and evolve it and the sales guys are pretty excited about how that convert, too so we traditionally have improvements in conversion which would be a point of leverage kind of backing up what Jim said.
Unidentified Analyst: And maybe just sticking with the Terminix comments, you know, Tony, you made what I would argue to be kind of a pretty confident statement regarding the kind of acceleration in the back half of 2017 from organic growth. I was wondering is there anything that you can point to that - that kind of gives you that confidence? I mean I understand that you have more feet on the street. I recognize the increase in the number of tech negotiation but are there any kind of statistics that you can point to that would give investors greater confidence on the acceleration? Thank you.
Rob Gillette: No. I would say just sitting through the meeting the last three days here with the Terminix team we have not only a lot of energy, but a lot of specific actions really aimed at improving retention. We're going to manage that metric real closely by - by region, by branch and I really believe that, you know, there are our new sales engine is working very effectively and it's really a matter of just focusing on the customer experience and improving those - the customer service. That's going to have a pretty profound impact and that's where I gain my confidence that we'll see that back half improvement.
Operator: Our network question is a follow-up from the line of Anj Singh. Please go ahead.
Anj Singh: I had a quick follow-up on Gary's earlier question. As it relates to some of the additional services your recent provide in AHS, can you speak to whether your current contractor network base is capable of servicing those new services or would you need to find different or additional contractors? Just trying to understand what may be limiting factors in a broader rollout with an AHS aside from perhaps just piloting and select geographies as you had referenced. Thanks.
Rob Gillette: No. The contractor base that we have collectively is a Company clearly can do all this work and in a lot of cases you can get it done for the cost of a trade service fee on average, right? So - and it's - you know what it is. It's another touchpoint in communicating with the real estate customer where you get in and address and remind them of the services that you can provide and then, you know, get your - our contractor basin and think about negotiating with them and having them be part of the - the group, get giving them opportunity to put their business card in front of these customers and to capture retail work going forward which is the model we pursue with our contractors. So in the case of vision of a concierge type product the advantage to our contractor base is this access at a retail type price scenario for them, but then you have to have a service level agreement within same day service and response and so forth so they would have to understand that. So we think it fits really well with the contractor base that we have.
Operator: Thank you. There are no further questions at this time.
Rob Gillette: Okay. Thank you again for participating in today's conference call and webcast. As reminder a replay of the call will be available on our website in about one hour from now. We look forward to speaking with you again. Thanks again for participating.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.